Operator: Good morning. My name is Hilda and I'll be your conference operator today. At this time, I would like to welcome everyone to the Second Quarter, 2020 Industrias Bachoco’s Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. Thank you for your attention. I will now turn the call over to Maria Jaquez. Maria you may begin.
Maria Jaquez: Thank you, Dilan. Good morning. And welcome to our second quarter 2020 conference call. We released our financials yesterday after the market closed. If you need a copy of the release, please visit our website or request it from our Investor Relations department. This morning's call contains certain information that could be considered forward-looking statements regarding anticipated future events and performance. These statements reflect management's current beliefs based on information currently available and are not guarantees of future performance and are based on our estimates and assumptions that are subject to risks and uncertainties, including those described in our annual report or 20-F, which could make our current results differ materially from the forward-looking statements discussed in this call. Except as required by applicable laws, Industrias Bachoco undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. Lastly, unless otherwise indicated, the amounts mentioned in this conference will be figures of 2020 with comparative figures for the same period of 2019 in Mexican pesos. As a reference, the exchange rate as of June 30, 2020, was MXN 22.96 per U.S. dollar. Here with me are our CEO, Mr. Rodolfo Ramos; and our CFO, Mr. Daniel Salazar. Now I will give the call to Mr. Ramos.
Rodolfo Ramos: Thank you, Maria. And good morning, everyone. Like we stated yesterday in our press release, during the second quarter of 2020, we faced on precedent challenges in our operations in Mexico and in United States due to COVID-19 pandemic making this a typical quarter and mostly likely in a typical year. We observed two main effects related to confinement measures both in Mexico and in the United States. On one hand, we saw a construction in our food service channel as a result of the restaurants and hotels being closed or partially closed. On the other hand, we observed a contraction in the demand of growth our business line, mainly driven by the economic growth slowed down. And key growth estimates done in the construction in Mexico's GDP for the second quarter was above 15%. The aforementioned conditions in combination with the poultry industry growing at a normalized rate, created an oversupply condition, which puts pressure on prices for most of the quarter. Regarding our cost of sales prices of our main raw materials in dollars terms were at the low levels for most parts of the quarter, however, 22% depreciation of the Mexican peso offset that benefit in our Mexican operation. This effect also had an impact in the consolidation of our U.S. operations results.  Regarding our SG&A and other expenses we reported an increase mainly driven by COVID-related expenses, which should include expenses made to provide our team members with proper equipment to warranty their safety at work, but also expenses related to our social responsibility strategy among others. In the case of our social responsibility strategy, between the months of April and May, we donated more than 260,000 kilos through 71 government institutions. This contributed to the nourishment of more than a million people. We also deliver chicken soup for people outside main hospitals in Mexico City, Morelos, Puebla, and Nuevo Leon. With this initiative, we were able to deliver more than 80,000 chicken soup plates for those who are struggling the most. Also, at the end of the quarter, we announced that we completed the process with Mexican authorities related to the agreement to invest in Sonora Agropecuaria, SASA, a swine processor and distributor. With this agreement Bachoco we'll acquire 54.8% of SASA capital stock. The agreement also includes the investment of around MXN 2,000 million in CapEx in a four-year timeframe. This strategy not only will let us integrate with our existing lifeline business, but also will allow us to participate in the export market of this segment. At the end of the day and under a very uncertain landscape we manage to deliver positive operating results for both the quarter and the first half of the year. Also our balance sheet remains strong. As we reach a net cash level of MXN 15,222.9 million, which will enable us not only to continue supporting our growth of the plants, but also to continue helping our communities under this tough time. At this point, I will turn the call over to Daniel for that discussion of the financial results.
Daniel Salazar: Thank you, Rodolfo. And good morning, everyone. As a result of the conditions that Rodolfo mentioned before, our company's second quarter of 2020 net sales totaled MXN 16,431.9 million, MXN 452.2 million or 2.7% lower than the MXN 16,884.1 million reported in the second quarter of 2019. This decrease was mainly a result of lower volume sold in our main business lines and lower prices in our poultry segment. Regarding the first half of 2020, during the quarter net sales of $32,170.3 million which is 3.1% higher than the net sales of the same period of 2019. In the quarter sales of our U.S. operations represented 31.0% of our total sales, which is higher than the 25.7% we reported in the same quarter during 2019. It was mainly a result of the depreciation of Mexican peso quarter-over-quarter. Cost of sales in the second quarter was MXN 14,574.5 million and MXN 28,131.8 million in the first half of the year; these represents an increase of 10.7% of the quarter and 9.5% for the year. Even if when we've had a positive effect due to lower volumes during the quarter, this was upset by higher unit cost mainly driven by depreciation of the Mexican peso, which not only had a negative impact in our main raw materials cost, in perfect terms, but also had a negative impact in the consolidation of our use operation as in peso term. Gross profit for the quarter was MXN 1,857.4 million with a gross margin of 11.3%, a decrease of 50.1% over the gross profit report in the second quarter of 2019. For the first half of the year, we raised a gross profit of MXN 4,038.5 million with a margin of 12.6%; this amount is 26.9% lower than the gross profit reached in the first half of 2019. Total SG&A for the second quarter of 2020 was MXN 1,567 million or 9.5% of total sales compared to the MXN 1,550.8 million and 9.2% of total sales for the second quarter of 2019. For the first half of 2020, SG&A totaled MXN 3,139.7 million or 9.8% of total sales compared to MXN 3,025.2 million, a 9.7% of total sales for the first half of 2019. On the other hand we have other expenses of MXN 207.5 million for second quarter of 2020 compared to MX 5 million on the same period of 2019. In this line, we recorded COVID related expenses not applicable to SG&A. Operating income for second quarter 2020 totaled MXN 82.8 million and operating margin of 0.5% lower than MXN 2,163.8 million and 12.8% margin during the second quarter of the 2019. The operating income for the first semester of 2020 was MXN 686.8 million and operating margin of 1% to 2.1% lower than the MXN 2,498.9 million and the 8% margin reaching the same period of 2019. The EBITDA margin for the second quarter was 2.7%, which is lower than the 14.7% EBITDA margin of second quarter of 2019. For the first half of the year, EBITDA margin was 4.3% lower than the 10.1% reached in the same period of 2019. In the second quarter of 2020, we had a net financial loss of MXN 122.3 million and a net financial income of MXN 2,304.2 million in the first half of 2020. Those figure compared to the net income – financial income of MXN 91.6 million and MXN 167.6 million for the second quarter of 2019 and first half of 2019 respectfully. For the second quarter of 2020, we have total taxes of MXN 11.2 million due to our reported loss before taxes. For the first half of 2020, our total taxes were MXN 849.1 million, which is 10% higher than MXN 772.1 million reporting the same period of 2019. All the above led us to a net loss of MXN 28.2 million for the quarter with a negative margin of 0.2%. For the first half of 2020, the net income totaled MXN 2,141.9 million with a net margin of 6.7%. The net loss per share was MXN 0.06 for the quarter and for the first half of 2020 we reached a net income per share of MXN 3.65 compared to net income MXN 2.65 and MXN 3.16 for the same period of 2019. Going into our balance sheet, we integrated the key uses of our recent business agreement with Sonora Agropecuaria. After the consolidation, total assets increased 4.8% when compared to the year-end of 2019. Our net cash was MXN 18,422.9 million at the end of the quarter [indiscernible] cash level of MXN 14,454.3 million at the beginning of the year. Our CapEx was MXN 992.4 million. We have maintained our plans of spending around MXN 100 million by the end of 2020. Those projects will be support our organic growth and maintain our facilities at high level of productivity. Thank you. And I will turn the call back to Rodolfo for final comments.
Rodolfo Ramos: Thank you, Daniel. During the quarter, we observed a poultry industry making efforts to concede with the current levels of demand. As a result, we are entering the third quarter with a better trend, particularly in prices. However, under this malarial and consulting conditions, it became key to be very close to our markets in order to adopt to the demand as quickly as possible. With what we are seeing right now, and have from some sectors are starting to reopen, this is expected for the second half of the year to become better than the first half. However, it is difficult to predict. We will continue to focus on those things we can control. So we can be in good chance to face any challenges that may come. We will also be focused on quickly integrating the SASA operation in order to capture the synergies that we were identified. Last but not least, we will reinforce our commitment with our communities as we work on the second phase of our social responsibility strategy.  With that, we will now take your questions.
Operator: [Operator Instructions] We have a question from Miguel Tortolero from GBM. Please go ahead.
Miguel Tortolero: Thanks for the call. Considering your comments of the conditions of oversupply following a weak demand during the second quarter and the comments, Rodolfo just made about the start of the third quarter, could you give greater color of what has been the evolution of this supply-demand balance, both from the supply and from the side perspective by the end of the quarter and starting this quarter? And the second one would be on EBITDA. I mean it's been a tough first half in terms of profitability. But considering the expectations of potential higher prices for the second half, apparently greater visibility in terms of FX now, could you give us some color of how your full year expectations have changed? What would your base scenario be in terms of EBITDA for the second half? Thank you.
Rodolfo Ramos: Sure. As you know, the – the second quarter normally is the best quarter of the year. The seasonality of the industry is that second quarter is not only the best. This year is the opposite. This is the worst second quarter ever. So – and the thing is because seasonality is the base line, normally, the industry set more checks and forms in order to increase the supply for this quarter, that's a normal situation every year. So in this year, with the pandemic effect than most of the hotels and restaurants so done on the lockdown of some – in some states of Mexico, we had a very, very low demand. So that's the kind of perfect storm, higher supply, lower demand. And on the other hand, the other important thing was the peso devaluation, which increased our cost of sales. So the combination that – of those three factors made the quarter. For – at the end of the quarter, we saw a recovery on prices that means that we observed a better balance between supply and demand at the end of the quarter. So in the month of July, we keep seeing that trend. So even though the prices are at a lower level than the last year, but we observed a better balance between supply and demand. And we are expecting that for the rest of the year – for the second half of the year. In terms of the EBITDA, I'm going to ask Daniel to help me with that.
Daniel Salazar: Thank you, Rodolfo. And thank you, Miguel for your question. At this moment, it's very difficult to predict how will be the conditions for the second half at all. But let me tell you that even that the balance of supply and demand that the Rodolfo mentioned that we observed recently, it's difficult to predict in the case of the demand, how much and how fast will recover for the second half. But even so, we think that probably we will maintain the same level of profitability that we delivered in the first half of the year. I mean, medium single digit, I would say.
Miguel Tortolero: Great. That was great. Thank you, Daniel and Rodolfo.
Daniel Salazar: Thank you, Miguel.
Operator: The next question comes from Alan Alanis from Santander.
Alan Alanis: Thank you so much. Hi, Rodolfo, Daniel. Hope you and your families are well. Good morning and thank you for taking my question. I have two questions. One of them has to do with the industry and the other one has to do with the strategy of Bachoco. The one with the industry is – you were breaking even on the second quarter on the operating income level. How are your competitors doing? I mean, because you're the biggest player. And are these competitors with some sort of debt, and we know you don't have any debt and would you say that this second quarter, you could be gaining some market share or some of your competitors in the industry might be having a harder time than yourself? That's my first question, and then I'll ask you a specific strategic question regarding Bachoco.
Rodolfo Ramos: Sure. The first one, we really don't know what is the result of our competitors because we are the first company – of the company report. So we have to wait to the other to our peers to report. So we really don't know how are they doing. But in terms of – if I've taken account the history of the industry, Bachoco has been growing and capture some market share in this kind of situations. Because we have – as you can see, our cash position is very strong. So normally, we use this cash to consolidate our company. So in that kind of – in this kind of event, Bachoco, normally, it has a more advantage of our competitors. So in terms of our strategy, we have some strength like our brand. Right now, with the COVID issue and the pandemic, people is looking for help secure products. And the branded product has an advantage. We have seen an increase in our sales of the product, and we branded in the retail, for instance. And the other advantage that we have is our distribution network. We have more than 60 distribution centers all across the country. And with those – and we have more than thousand routes to deliver the product to our customers. So delivery right now is very important for the consumer, too. So we are in a very good shape to capture some market share in these – under these conditions.
Alan Alanis: Got it. That’s very clear, very useful. Just the question about strategy has also to do with value-added products. I know that your largest – two of your largest competitors, I mean, JBS with Pilgrim's and Tyson have been focusing in the respective core markets, I mean, Brazil and the United States, more the United States in much more value-added products. And it seems that this focus on more value-added products has allowed them to have – to capture bigger margins. And this is their strategy or their hope to more stable margins. And it seems that where is Bachoco on that? And do you really want to go full in on the more value-added products now that people are looking for these products in the supermarkets for convenience of – yes, for convenience to cook at home? Or do you think that it's better to keep the course and remain being the largest player of live chicken in Mexico. Because as you say, with very, very strong distribution and a very strong balance sheet. I don't know, the question makes sense, Rodolfo.
Rodolfo Ramos: Yes. Yes. It's – the one of our advantage is our distribution of the – the contribution of our products or our mix of products. For instance, as you mentioned, we are very strong in the live market public – public market but the value-added products and the branded products that I refer out of those products and deliver products with a healthy product, the sanitation of the product of the people trust in our brand. And we are increasing, and we are investing some money in the facilities to deliver this value-added product, frozen product, [indiscernible] products and fully cooked products. We have we have – we are running our processing plants for value-added, but not at 100% capacity because we have some idle capacity all the time has been our strategy to have some idle capacity to respond to the market to the variations of the volatility of the market. And that's a very important point. But on the other hand, in the past with the Mexican fast food is a very important channel, too. And with some of our customers, most of our customers in that segment, we did some advertising campaigns and some co-branding in order to maintain or even increase the sales. At this moment, I can tell you that those customers are selling more products than before the COVID issue. So we cover the market. And right now, they are selling – even though the more product.
Alan Alanis: Got it. Yes, that makes sense. That's consistent with what we heard particularly from the fast food to take at home. These people are invested to eat outside of the house and even if I take out. So okay, I really appreciate your answers. And they were very clear, very useful. Thank you so much and please stay safe. Thank you.
Rodolfo Ramos: Thank you for your question, Alan.
Alan Alanis: Thank you.
Operator: Thank you. Our next question comes from Ulises Argote from JPMorgan.
Ulises Argote: Hi, guys. Thanks for the call. Just a couple of questions here on my side. I was wondering if you could provide maybe some details on the investments that you're going to make on the SASA business. Should we be thinking it kind of breaking similarly between the four years or maybe a bit more front loaded? So any details that you could share on that front would be really helpful. And then the second one, maybe thinking on costs into the second half of the year. I know, Daniel, you already mentioned a bit more or less what's kind of the outlook for profitability to the second half. But maybe if you could elaborate a bit there on how costs are looking and maybe an update on your hedging strategy? Thank you.
Rodolfo Ramos: Sure. I’m going to answer the first one and the second, I'm going to leave it to Daniel. In the SASA operation, our investment is going to be in order to produce the live swine that we need for to fold our processing plants. The company has two processing plants, one located in the Sonora state and the other one in Jalisco state. And right now, they are running at, let's say, 70% of the total capacity. So the investment is going to be to put him in shape those plants to run at 100% capacity. And in the past, this company used to buy the – to acquire the live swine in the open market with some contracted producers. But the idea is to expand our live operations because, as you know, Bachoco owns some live swine operations. So we are looking to expand our capacity in order to fill both processing plants. That's the idea. And most of the product is for export, export to Japan, United States and China, mainly. And the rest of the product for the domestic market. So the combination of both markets is the ideal situation for this company. So we are going to spend more money in the, let's say, the first two years. And at the end of the fourth year is going to be maybe 15%, 20% of the total expenses. So we are going to put more money at the beginning.
Daniel Salazar: And according with your second question, this is about the cost, according with the information we have and the visibility that we can get so far at this point of the year, we can see stable commodity prices for the rest of the year compared with the previous year. But if we consider that the most important variable that will affect our cost is the exchange rate. As Rodolfo mentioned at the beginning of the call, this was an important effect that we so far in our results. So it depends on the volatility of the exchange rate for the rest of the year the rest of the year. It will affect our cost even, given that we have, as you know, a very important part of our cash in U.S. dollar terms, the impact of the exchange rate affect directly our cost because we only have two months or three months of exchange of our raw materials. So whatever happened with the economic situation will affect our cost for the coming months.
Ulises Argote: Okay, that’s perfect. Thank you very much guys.
Daniel Salazar: Thank you.
Rodolfo Ramos: Thank you.
Operator: The next question comes from Andrea Kasalo from Metlife.
Andrea Kasalo: Hello, hi. I would appreciate if you can provide more detail on this demand supply imbalance, like how much demand drop in the second quarter or supply increase, how long do you expect this imbalance to last? And how many quarters will take to come back to a normal market? And what measures are you taking to offset that impact? Another question is if you can provide a little bit of – maybe some guidance in terms of is your – do you see any opportunities on M&A due to the current situation in the sector? And what kind of companies would you pursue size? 
Rodolfo Ramos: Thank you for the question Andrea. The first one, in terms of the supply and demand, May is one of the best months of the year. And is that normally makes the second quarter. And that's because of the demand and modest way in your head, 15 of May is Teacher’s Day. So there's a lot of holidays during May and at the end at the month, start with graduations of the schools. And they normally consume a lot of breast meat. So this year, because of the lockdown, the 2020 big events, modest day, the consumption of this particular day was very, very low compared with the other years. So I can say that the reduction in that particular day at around 30% of the total consumption. So we saw a huge reduction in consumption. Graduation, the consumption will not because there is no graduations because of the pandemic situation. So in the month of May, then normally, we have an oversupply because of the conditions of the month, right now, we saw a lack of demand. That put a lot of pressure in prices.  But in June, at the end of June and the first half of July, we saw a better balance between and demand because some players reduced their volumes. And even the – normally, we reduced a little bit our volume for the third quarter because we tried to balance supply and demand. So at this moment, we are seeing a much better balance between supply and demand. And you can see this effect on prices. And the second question, Daniel? 
Daniel Salazar : Thank you. Second – well, I will only have preliminary comments on that first question, Andrea. The demand dropped more than 10% in our case, in those months. Now talking about the M&A, of course, with this situation, we think that we would see a more favorable environment of – for M&A activity. And we are looking for companies, I would say, middle-sized company, not only in the chicken business, but also in other proteins in order to diversify our business line. And right now, we are looking for that kind of companies in Mexico geography.
Andrea Kasalo: In Mexico and Brazil?
Daniel Salazar : No, only in Mexico.
Andrea Kasalo: Okay. But it could be imported or any other product? 
Daniel Salazar : Yes.
Andrea Kasalo: Okay. I know, obviously, it could be confidential and all that, but what is targets or the maximum level of leverage, for example, that would you have in case of M&A or how much cash is the money on cash that you will maintain at the company? Just to have an idea because you have low levels of debt and a lot of cash. So how much of that cash maybe you are waiting to [indiscernible]?
Daniel Salazar : It depends on the size of the target, of course. But at the most, we feel comfortable to have a debt no more than 2.5 times EBITDA. 
Andrea Kasalo: Perfect, thank you.
Operator: Thank you. [Operator Instructions] The next question comes from Hector Maya from Santander.
Hector Maya: Hi, thank you very much for taking my question. I just wanted to know, Bachoco has a relevant structure in U.S. dollars. And well, most of the costs are grand. So would you consider a more long-term hedging strategy? Or what would be the rationale to have three-month hedges instead of something more like other food and beverage. Whereas in Mexico, they have 12 or 18 months in hedges that maybe could help to stabilize or offset the swings in margins.  And also, I would like to know how much of your needs are hedged. Normally, do you hedge 20% or 10% of your grain needs for the year? How much would that be? Thank you.
Rodolfo Ramos: Well, in terms of the hedging, normally, we save the full year or maybe at more than a year with the customers than we have a contract with them. So we don't speculate with the prices of the raw material, not even with the dollar. So if we have a customer that wants to have a price for the whole year, we normally hedge their raw materials, and we need to produce their products. So we can hedge 100% of their volume, but if we have a price agreement with them. So it's the only way that we can just hedge more than three months of our consumption, because we don't want to speculate. We don't know if the market is going to be higher or lower. And for that reason, we have just three months. Normally, we have 1.5 months, if we see this is a good opportunity. We can expand our position a little bit more. And sometimes we work with the strategies as scale and put order to some levels, and it sounds interesting for us. So we can do it. But with all the time, we are very cautious to do this kind of strategy to hedge more than two months.
Daniel Salazar : The other reason, Hector, is because we have the possibility or the capability to translate or every impact we have whatever change we have in the raw material cost to the price sooner or later depends on the balance of supply and demand because we participate in the traditional end markets. So if we don't have a fixed price contract, we have this possibility, and that is the reason to not speculate. 
Hector Maya: Thank you. And just to clarify the last part that was mentioned. So you have the possibility or the capability to pass that higher cost prices in prices to products, but only when supply and demand balances are more normalized. But in the meantime, if you're not entirely able to translate that prices increasing in the price of yours, right?
Rodolfo Ramos: Normally the prices – you can translate the prices in a period of four to six months. So if we have a coverage of our raw material materials of three months, it's – at the end, it's just one month and is open to the risk. So at the fourth month, we can start to translate this cost to increase is the case to the customers. It's not immediately, because as you mentioned, we have to adjust supply and demand again. So that happened in a period of four to six months. 
Daniel Salazar: And on the other hand, this period of time led the industry as a whole to at the production volume to the demand in order to balance the supply and demand. So this industry have this advantage compared with other industry because due to the life cycle of the chicken products, and we have the possibility that hindrance but just very quickly in terms of two to three months
Hector Maya: Got it. And with the current uncertainty, are you confident that you will be able to translate this into prices in the next four to six months? 
Rodolfo Ramos: Well, right now, the raw materials are very stable, maybe with the trend to have better prices, or is very stable. So it will be the same. And the only factor that is very popular [ph] is the heading rate, but that can impact. But there, we have a very good cash position in terms of – in dollars. Our situation in dollars is – our position in dollars is good.
Daniel Salazar : So if we suffer an increase in our costs, we, of course, will have a benefit in financial income in dollar term.
Rodolfo Ramos: That's the reason for the net loss, the appreciation of the test.
Daniel Salazar : Yes, that’s correct.
Hector Maya: Got it. Very, very clear. Thank you very much.
Rodolfo Ramos: Thank you, Hector.
Daniel Salazar: Thank you, Hector.
Operator: Thank you. [Operator Instructions] At this moment we are showing no further questions. Do you have any final remarks?
Rodolfo Ramos: Well, thank you, everyone, for joining us this morning. If you have any further questions, please contact our Investor Relation, Maria, who will be glad to assist you. Thank you very much.
Operator: Thank you. Ladies and gentlemen this concludes today’s conference. We thank you for participating. You may now disconnect.